Operator: Good morning. My name is Bridget and I will be your conference operator for today. At this time I would like to welcome everyone to WEX's Quarter Two 2015 Earning Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I would now like to turn the call over to Micky Thomas, Vice President of Investor Relations and Treasurer. Mr. Thomas, you may begin your conference.
Micky Thomas: Thank you, Bridget. Good morning. With me today is Melissa Smith, our President and CEO; and our CFO, Steve Elder. The press release we issued earlier this morning has been posted to the investor relation section of our website at www.wexinc.com. A copy of the release has also been included in an 8-K which we submitted to the SEC. As a reminder, we will be discussing a non-GAAP metric, specifically, adjusted net income during our call. Adjusted net income for this year's second quarter excludes an unrealized loss on fuel price derivatives, amortization of acquired intangible assets, expenses related to stock-based compensation, adjustments attributable to noncontrolling interest and a tax impact of these items. Also, we are now adjusting our non-GAAP metric to exclude the after-tax impact of foreign currency remeasurement gains and losses and related hedges. For consistency, we have revised adjusted net income for the prior periods to exclude the impact of FX gains and losses, and our full-year guidance excludes the impact of these foreign exchange gains and losses. Please see Exhibit 1 included in the press release for an explanation and reconciliation of adjusted net income to GAAP net income. I would like also to remind you that we will discuss forward-looking statements under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those forward-looking statements as a result of various factors, including those discussed in our press release, and the risk factors identified in our Annual Report on Form 10-K filed with the SEC on February 26, 2015. While we may update forward-looking statements in the future, we disclaim any obligations to do so. You should not place undue reliance on these forward-looking statements, all of which speak only as of today. With that, I'll turn the call over to Melissa Smith.
Melissa Smith: Good morning, and thank you for joining us today. WEX reported solid top and bottom line results for the second quarter of 2015 that were in line with our expectations. During the first half of 2015 we have seen solid organic growth and strong performance from our acquisitions, which gives us positive momentum as we head into the second half of the year. Our results demonstrate our ability to continue delivering broad-based growth in spite of macro economic factors in a challenging fuel price environment. For the quarter we generated $214 million of revenue, a 6% increase over the prior-year period. If fuel prices had remained at second quarter 2014 levels, revenue would've been approximately $239 million for the quarter, which would've been a 19% increase over the prior period. When further adjusting revenues for FX, M&A and divestitures, our overall organic revenue growth rate would've been 10%. Adjusted net income came in within our expected range at $1.25 per share, compared to $1.36 for the second quarter 2014. Our performance for the quarter was driven by solid execution against the strategic priorities I discussed with you previously which are to grow, accelerate and scale the business. Importantly the progress we're making towards our strategic even more confidence in the long-term prospects of our business and our ability to achieve our stated growth targets. In terms of growth, our innovative offerings and superior customer service have enabled us to maintain strong relationships with our current customers while winning new business across the verticals in which we operate. We pride ourselves on our track record as consistency and reliability as well as continued development of new value added service offerings that meet the growing demands of our customers. This quarter we've maintained a leadership position in our core markets, continue to penetrate into emerging geographies more deeply and set the groundwork for expansion into new regions. In addition to our success in the core fleet business, our virtual business is doing quite well and we're very pleased to extend our contract with Expedia, our largest customer in the online travel space, through 2020. This quarter's performance also reinforced our enthusiasm around our strategic investments which continue to progress ahead of our expectations. We're excited about the opportunities Evolution1 affords us in the healthcare market with early contributions suggesting a long forthcoming runway for continued growth in the business and expansion in the marketplace. We also continue to make very good progress with WEX Europe Services and I'm pleased to see improvements driven by higher revenue from the pricing actions we took late last year and earlier this year. Finally, we continue to drive scale across our business as we roll out the pricing adjustments plan for this quarter. We're also working to ensure that effective and efficient systems are implemented across our existing and newly acquired business lines, and plan to continue our integration efforts through the end of 2015 and into next year. Overall, our efforts on this front have contributed positively to our earnings and position us for sustainable growth. We anticipate further benefits moving forward. I'd now like to provide more detail on our results for this quarter. Turning first to our fleet payment segment. We saw payment processing transactions increased by 11% relative to the prior-year period. Although slightly lower than expected fuel prices in the U.S. impacted our results, we're encouraged by favorable trends in Europe. In our domestic fleet business our sales engine demonstrated very good momentum across all segments of the portfolio. We saw strength in new customer acquisitions and our attrition rate remains at extremely low levels driven by our continued focus on the value we bring to our customers. We also continue to add income from customer fee revenues. I'm encouraged by our sales pipeline and by our ability to continue winnings key strategic accounts including the recently announced cobranded relationship with GE Capital Transportation Finance, to provide its truck fleet customers with fuel card services and our recent ServiceMaster fleet win. Initially we expect both of these programs to contribute modestly to sales as we commence the early stages of the onboarding process. Additionally, the WEX FlexCard introduced last quarter has been well received and we expect to see continued momentum as we introduce this offering to our private label portfolio. This is a good example of how our innovative fleet products help us further penetrate the space and differentiate our value-added offerings versus the market. I'd also like to highlight the continued strength of our Over the Road offering. During the quarter we held our first OTR lead user group in Nashville Tennessee. These strategic partners provided feedback around our product roadmap and customer service among other areas. This input is vital to our commitment to delivering exceptional service and value-added service offerings. We're confident that our developments in the OTR space will continue to define the future of corporate payments in fleet and ultimately accelerate our growth. In domestic fleet, our organic growth was impacted by softness in same-store sales of approximately 2.7%. This decline was a market change from the first quarter, and more pronounced in our large fleet customer base. The transportation, manufacturing and oil and gas industries had the largest year-over-year decline, and we are diligently monitoring incoming data across our regions and industries. Our international fleet business continued to demonstrate strong performance. WEX Europe Services reported positive results with encouraging volume and revenue growth. We are leveraging the substantial presence that we have established across Europe to scale our business processes and optimize our assets in this important region. Through the diligent work of our team, we remain on track in building out the WEX platform in Europe with program conversions still expected to begin late this year and continue into next year. We're excited by the initiatives in our pipeline including increasing our telesales and marketing presence. Additionally, we continue to see positive results from the margin improvement initiatives described last quarter, and are pleased with the sequential growth in the portfolio. Now that we've adjusted our pricing to better align with the overall market, we continue to execute against our plan to diligently evaluate cost structure and operational efficiency as we transition the systems required by the platform conversion. I'll now turn briefly to the performance of our fleet business in Brazil and Australia. Despite ongoing challenges in the Brazilian economy, we reported double-digit revenue increases in the region even after FX adjustments. We're pleased to announce a few strategic wins, including the second-largest freight company in the country. Australia posted strong results which included a large partner win that will result in leaders growing in the teams relative to the prior period. Overall, our fleet business is positioned for strong organic growth and market leadership as we continue to make strides in broadening the reach of our fleet payment products in high gross geographies. The other payments segment, which includes our travel, healthcare and employee businesses generated 31% growth in spend volume globally over Q2 last year increasing spend to $5.7 billion. This was primarily driven by the growth in the travel vertical and in Evolution1. In travel, volume came in as expected and we continue to work on expanding relationships with existing partners, onboarding new customers and signing contract extensions during the quarter. We're focused on further globalizing our virtual card product and pursuing value-added enhancements to our core service offerings, to meet the needs of our customers in high-growth markets. Our penetration in Asia remains in an early-stage and we're encouraged by the interest our travel offering has received. Evolution1 had another solid quarter and continues to exceed expectations. Evolution1 represents a compelling part of our strategy as we accelerate our organic growth across the attractive consumer-driven healthcare vertical. Our expertise in this dynamic market has been facilitated by the innovative tools which Evolution1 provides to its partners to grow their businesses. Key enterprise relationships such as UnitedHealthcare, HSA Bank and Task demonstrated significant traction this quarter, and we announced one of our largest product releases comprised of new enhancements, security, compliance and scalable upgrades. Looking ahead, we will remain focused on our strategic priorities for the remainder of 2015, position WEX to grow organically, enhancing on our value-added product and service offerings and driving scale across the entire organization. The footprint of our Company has changed quite drastically over the past year and we are working diligently to ensure we are maximizing the efficiency and value of our expanded infrastructure assets and talent base worldwide. We continue to pursue organic growth by focusing on initiatives that help strengthen our market leadership domestically and expand our reach into high-growth geographies. In our domestic fleet business, our platforms for new business are strong and will continue to gain traction and add new business. As I've said before, 2015 will continue to be a year of investment as we ramp our fleet business internationally and further penetrate the high growth verticals in regions in which we operate. When combined with our focus on creating value added service offerings, these efforts leave us well positioned to accelerate our growth over time. In Europe we'll continue to make investments that build on our strong brand and differentiated product offering, while improving the overall economics of the WEX Europe Services business. In addition, given our success with Evolution1, the opportunities we see in healthcare payments, we will continue to seek ways to deepen and broaden our reach in this large and attractive vertical. In travel, we will continue to focus on market share gains and global expansion, while laying the groundwork for accelerated growth in key markets. We will complement our organic growth initiatives with a disciplined eye towards making strategic investments. Our acquisition strategy remains focused on opportunities that create or enhance scale, increase functionality or add product differentiation to our existing businesses. We will maintain our disciplined approach to capital allocation to prioritize opportunities that complement and accelerate our organic growth strategy which remains focused on broadening and expanding our reach into our existing high-growth payment verticals. Finally, we're focused on identifying and pursuing opportunities to drive scale across the organization in order to drive topline growth and profitability. We will leverage our repeatable business model as we believe our success in executing very complex transactions, as well as our proven ability to grow portfolios, sets us apart as a corporate payments leader. Overall, I'm pleased with our second-quarter results. Our strategy is proving to be successful, and I'm pleased with the longer-term prospects of the business. However, due to the softness and the macro economic factors that I mentioned earlier, we are adjusting our forward guidance accordingly. That said, we believe the underlying dynamics of the business are favorable and our pipelines remain strong. We continue to win competitively in the domestic fleet business. We're successfully globalizing our virtual card offering. And the acquisitions we announced last year are performing ahead of expectations. Our global reach expanding network of customers and partners in corporate payment expertise continues to position us well for sustainable growth and profitability long-term. I'll turn the call over to Steve to discuss our financials and guidance. Steve.
Steve Elder: Thank you, Melissa. For the second quarter of 2015, we reported total revenue of $214 million, a 6% increase from the prior-year period and in line with our guidance range of $211 million to $220 million. Net income attributed to common shareholders on a GAAP basis for the second quarter was $26.5 million or $0.68 compared with $43.3 million or $1.11 per diluted share for the same period last year. Our non-GAAP adjusted net income was $48.3 million or $1.25 per diluted share, down from $53.1 million or $1.36 per diluted share for the same period last year. The change in our earnings per share versus last year was driven by revenue declines from unfavorable fuel prices, as well as unfavorable foreign exchange rates which were partially offset by fuel derivative gains. These results are in line with our guidance range of $46 million to $49 million or $1.18 to $1.26 per diluted share. Beginning with this quarter, adjusted net income will exclude foreign currency remeasurement gains and losses and related hedges. For comparative purposes, adjusted net income attributable to WEX for the first quarter has been revised to reflect this change. As a reminder, these foreign currency remeasurement gains and losses and related hedges are primarily related to our balance sheet and the remeasurement of our assets and liabilities, which has been a natural byproduct of our business strategy to provide our global customers with the flexibility to transact in currencies other than our functional currency. This change does not affect our reporting around operational FX impacts, which continue to be included in adjusted net income. We believe excluding foreign currency remeasurement gains and losses and related hedges facilitate a more meaningful comparison of operating results. This change resulted in an after-tax increase of $0.09 per diluted share to our reported first quarter adjusted net income. We also want to note that effective this August we no longer plan to hedge foreign currency remeasurement exposure as we have been doing since the second quarter of 2014 allowing us to avoid the cost of hedging. Moving on to operations, in the fleet segment total revenue was $135.5 million which is down 7% versus last year. Payment processing transactions increased to $86.7 million or 11% higher than the prior year period. The increase in transactions was primarily the result of the inclusion of WEX Europe Services as well as organic growth in the U.S. and Australia. For the quarter our fleet payment processing revenue came in at $80 million or 15% below the prior-year period. The decline in revenue was driven by fuel prices that were 27% lower versus last year. Our net payment processing rate decreased 2 basis points when compared to both Q1 of 2015 and Q2 of 2014. While we would have anticipated this rate to have increased with the decline in fuel prices, we were impacted by merchant consolidation and customer renewals. Also, as we have mentioned previously, we are in the process of implementing changes to customer late fees and we anticipate these fee increases will take effect during the second half of this year. Through WEX Europe Services, we remain focused on growing the Esso portfolio in Europe and improving our profitability. As a reminder, revenue in our European fleet business is based on a spread which results in WEX retail fuel price sensitivity in this market. Our teams in Europe are working to make our operations more efficient and will spend the remainder of this year continuing to build out our technology platform. As Melissa stated earlier, we expect to see the first conversion to our platform late this year and expect subsequent systems conversions to occur on a country by country basis in 2016. In the other payments segment, revenue for the second quarter increased 40% or $22.4 million year-over-year to $78.1 million primarily as a result of the inclusion of Evolution1. Spend volume on our virtual products increased 31% over last year to $5.7 billion for the quarter. The net interchange rate for our virtual card in Q2 was 84 basis, down 2 basis points year-over-year, and down 3 basis points sequentially. The decrease was due primarily to renegotiated contracts that Melissa mentioned earlier. Moving down the income statement, for the second quarter, total operating expenses on a GAAP basis were $151 million, a $29 million increase versus last year. Salary and other personnel costs for Q2 were $59 million compared with $43 million in Q2 last year. Additionally, service fees were up $6.1 million from the prior year at $33.9 million. Each of these increases is primarily due to the acquisitions of Evolution1 and WEX Europe Services. During the second quarter, credit loss on a consolidated basis totaled $4 million This compares favorably to a $6.8 million in Q2 last year, driven by lower balances from declining fuel prices. This was offset by an above average sized bankruptcy during the quarter in the other payments segment. Total charge-offs in the quarter were $7.7 million, and fleet credit loss was 5.3 basis points in Q2 compared to 9.1 basis point in Q2 2014, which is one of our lowest quarters for credit loss in our history. Our operating interest expense was $1.4 million in Q2 as we continued to benefit from low interest rates in the U.S. The effective tax rate on a GAAP basis for Q2 was 38.4% compared to 35.8% for the second quarter of 2014. Our adjusted net income tax rate this quarter was 35.8% compared to 35.7% for Q2 a year-ago. Turning to our fuel derivatives program, for the second quarter of 2015, we recognized a realized cash gain of $9 million before taxes on these instruments. We also recognized an unrealized loss of $15 million due to the change in market value of the outstanding fuel derivatives. We concluded the quarter with a net derivative asset of $17 million. For the third quarter of 2015, we have locked in at a price range of $3.35 to $3.41 per gallon. For the fourth quarter of 2015 the average price locked in is $3.33 to $3.39 per gallon, which will limit our earnings exposure to price fluctuations this year. As we discussed last quarter, we have suspended purchasing under the fuel derivatives program as we believe the risk/reward trade-off is not balanced at this time. The third quarter of 2015 is the last quarter we have hedged at the 60% targeted levels and we have partial hedges in place for the fourth quarter of 2015 and first quarter of 2016. We will continue to monitor the market and evaluate our alternatives going forward. Moving over to the balance sheet, we ended the quarter with $184.3 million of cash, down from $284.8 million at the end of the first quarter. This was primarily due to the seasonality of WEX bank deposits. In terms of capital expenditures, total spending for the second quarter was approximately $16 million. As our track record demonstrates, we've maintained a very disciplined and focused approach to capital allocation since we went public. We ended the quarter with a total balance of $1.1 billion on our revolving line of credit, term loan and notes, which is down $118 million from the beginning of the year. Our leverage ratio has decreased to approximately 3 times EBITDA. In the near-term we will continue to use our free cash flow to reduce our debt level, however, we remain in the market looking at M&A opportunities that meet our strategic and financial criteria. Now for our guidance for the third quarter of 2015 and an update on the full year, which reflects our views as of today and are made on a non-GAAP basis. As we discussed earlier, our guidance excludes the impact of foreign currency remeasurement gains and losses and related hedges. In addition, we are expecting the softness in our same-store sales to continue through the remainder of the year. For the third quarter of 2015, we expect to report revenue in the range of $224 million to $233 million. And adjusted net income in the range of $54 million to $57 million or $1.38 to $1.46 per diluted share. These figures assume normal seasonality trends in the virtual card business as well as credit losses. Our full-year guidance also assumes that fleet credit loss will be between 6 and 11 basis points, and that domestic fuel prices will average $2.77 per gallon. For the full year 2015, we expect to report revenue in the range of $847 million to $872 million and adjusted net income in the range of $192 million to $201 million or $4.94 to $5.14 per diluted share. These figures assume normally seasonality trends in the virtual card business as well as credit losses. Our full year guidance also assumes that fleet credit loss will be between 7 and 10 basis points, and that domestic fuel prices will average $2.68 per gallon. The fuel price assumption for the U.S. is based on the applicable NYMEX futures price. Additionally, we expect our adjusted net income tax rate to be between 35% and 36% for 2015 and total capital expenditures to be approximately $65 million to $70 million. Our guidance assumes approximately 39 million shares outstanding for the year. Bridgette, would you please open the lines for questions now?
Operator: [Operator Instructions] And your first question comes from the line of Bob Napoli with William Blair.
Bob Napoli: Thank you. Good morning. Question on, I guess, the virtual card business. Can you break out what was the growth rate for travel and the growth rate this quarter? I know we haven't lapped the healthcare yet. The payment volume?
Steve Elder: We haven’t lapped volume sir. You're right, Bob. We haven't lapped the healthcare. I would say that the growth between the Evolution1 spend coming on and the travel vertical was about evenly split. So you're, again, in that teens range of growth for the virtual card.
Bob Napoli: Okay and then…
Steve Elder: FX was also an impact in that number right? A third of our spend or 40% of our spend is outside of the U.S. so that impacted by another 4% to 5%.
Bob Napoli: Okay. So you're saying FX adjusted, the virtual card grew high teens?
Steve Elder: Yes.
Bob Napoli: Okay. Thank you. Then Expedia. Nice to see that extended. You mentioned a little bit about – when was that extended and I know that had an effect on your interchange rate in the quarter, so was it at the beginning of the quarter the end of the quarter what should we think about in interchange rate for that segment going forward?
Melissa Smith: We actually negotiated the contract with them reflective to the beginning of the quarter.
Bob Napoli: Okay.
Melissa Smith: You would think of that as being consistent going forward.
Bob Napoli: And then I mean you did have – last question and I'll turn it over. The fleet actually had some pretty strong growth in the quarter, 9.3 million to 9.8 million vehicles. The average number of vehicles serviced. What drove that type of growth in the number of vehicles and why is Europe performing better?
Steve Elder: To start with on the vehicles, Bob, what I'd say is there is normal growth in the portfolio, but there were some vehicles related to WEX Europe Services that we had not included in the first quarter that we have now included in this quarter. So – and it's several hundred thousand. So it's a bit of a different revenue stream and less profitability for most vehicles but they are included in the rest of the metrics as well. So that’s the I would say from a vehicle count perspective, it's a normal quarter and then you've got…
Bob Napoli: Okay.
Steve Elder: That addition coming in.
Melissa Smith: And you asked about WEX Europe Services, I'd say it's a bunch of things. We were pretty proactive hitting the ground with making pricing changes in that portfolio. And that has gone well. It's gone better than we expected in the market. That's the first thing I'd say. The second thing is that the portfolio has also grown which is important to our partner so we wanted to make sure that we were also seeing volume growth in the portfolio. So we’ve been able to not just make a change in the pricing, but also continue to see forward momentum within that business.
Bob Napoli: And that's marketing strategies? You've been increase marketing spend or what is driving the growth?
Melissa Smith: Well, I think that some of it is more around how we're repositioning ourselves in the marketplace and we’ve been working with our partner Radius through WEX Europe Services. And I think there's a combination of the WEX expertise that we have around managing a portfolio and their local knowledge in the marketplace that combined is becoming pretty powerful.
Bob Napoli: Great. Thank you.
Operator: And your next question comes from the line of Sanjay Sakhrani with KBW.
Unidentified Analyst : This is actually Steven filling in for Sanjay. The question I had was around same-store sales. Could you just provide a little more color around it? It seems like the weakness appeared a bit given that last quarter I believe was flat.
Melissa Smith: Yes. It was sudden for us. We had seen a little bit of softness going into the call but it was such a short period of time it didn't look like a trend line, but as we progressed into the quarter it continued. And if you look at our statistics I said it was down 2.7% for the quarter, the most market changes mining oil and gas, which was down about 17% year-over-year so while it's not a huge piece of our portfolio it was big enough that it's moving the numbers. We also saw about a 7% drop in manufacturing. So some of the parts of the economy that seem to be impacted based on overall fuel prices and also FX seem to be more heavily impacted. But I'd say just in general we're also seeing it across some of our larger fleet customers, some of its natural shift to more fuel-efficient vehicles, which is what we've seen over the last several quarters, but this was certainly much more pronounced within Q2.
Unidentified Analyst: And could you break down, in terms of the 17% down and the 7% down, how does that compare to the first quarter?
Melissa Smith: Oil and gas was down a little within Q1 pointed out right now. But if you look at the comparable period transportation was down 1%, mining was down 3%, which is the equivalent of oil and gas. So it went from down 3% to down 17%, and a lot of the areas where we were seeing positive – construction continues to be positive across our portfolio, but some of those larger customers also went from being slightly negative in Q1 to quite a bit more negative in Q2. There were certain segments within the business I'd say are much more pronounced, and again I think that's related to what happening overall with fuel prices and with foreign exchange having impact, but it also seems to be cutting across a bunch of SICs with some of the larger customer base.
Unidentified Analyst: Got it. And just clarification question, in terms of your guidance, that assumes the $1.19 now for the first quarter?
Steve Elder: Yes. That’s correct.
Unidentified Analyst: Okay. Great. Thanks for taking my questions.
Operator: And your next question comes from the line of Ramsey El-Assal with Jefferies.
Ramsey El-Assal: I guess following up on that last question, can you kind of parse out the different drivers of your guidance reduction? And maybe you can do this qualitatively if not quantitatively. How much of it is fuel in terms of a primary impact versus this second derivative impact from the slower verticals, versus anything else that you might want to call out in terms of what drove the guide down?
Steve Elder: So, Ramsey I guess, the first thing I'd want to say in a little more conversational tone, when you adjust the second quarter that we just had for FX impacts for fuel price impacts, and normalize all the M&A activity, our organic growth rate in the revenue was right around 10%. So, obviously, those macro headwinds are small, but I think to kind of set it up, we are executing very well even if it's not tremendous apparent in the numbers. So anytime there's a re-forecast there's a lot of moving parts and we know that, but first with the prior guidance we gave, revenues down in the second half of the year for three primary reasons. Fuel prices, slightly, foreign exchange rates and the same-store sales that we were just talking about in the last question. The FX didn't really have a large earnings impact because of the natural hedge with the expenses in the business. Fuel prices had an impact. It was $0.04 of change in fuel prices so it's a few pennies. But when you couple it with the declines in the same-store sales, that’s s where you're getting the majority of the earnings impact from the changing guidance. And it's impacting not just the payment processing revenue, but also the finances which are starting to become a bit of a larger revenue stream for us with the changes in the pricing that we've taken over the last couple of years.
Ramsey El-Assal: Okay. That's very helpful. Second one from me. Have you gained any kind of additional clarity on the timing or magnitude of accretion from Esso in 2016 now that you've had ownership here for a little while? Are you getting a little more clarity in terms of maybe when and to what degree that should turn into an accretive factor in 2016?
Melissa Smith: I’ll start, and Steve might want to add some more color to that. We've said that 2016 would be a turning point. I still believe that each quarter that we get into this we learn more. We're seeing really good revenue dynamics. The change in the cost structure is something that's going to take some time. In the European environment that is something that has to go through a natural process. So I think that clouds the precision around when you're going to see the full effect of that, but overall we are – if you look at all the individual pieces of what we said we’re going to do that we were going to make changes to the overall pricing environment, we were going to continue to grow the portfolio and we were going to make changes to the cost structure and then re-platform. Each of those things are actually progressing, if anything, ahead of when we planned. And I would say the timing around the adjustment of the cost structure we don't have as much control over as the other things, which is why in part, we went pretty aggressively at the other things.
Ramsey El-Assal: Okay great. That's also very helpful. Thanks a lot.
Operator: And your next question comes from the line of James Schneider with Goldman Sachs.
James Schneider: Good morning. Thanks for taking my question. I was wondering if you – pardon me if I missed this before – but could you maybe dig into the deceleration in the same-store sales you saw in the quarter and I understand the oil and gas might've been – why that would've obviously been a driver, but can you talk about the transportation in some of the other verticals and what you think may be going on there?
Melissa Smith: I mentioned a little bit this earlier, but I'll repeat, mining was the biggest decline. It was down 17% year-over-year and I think that's inherent mining. It also has oil and gas included in there. Manufacturing was down 7%, which we think has something to do with the FX environment that we're in. Transportation was down about 4% in SIC code. And then I would say just across the board with some of our partner portfolios, where we have less insight into the specific industries, we're seeing I would say more broad-based declines year-over-year, so when we talked to the customers, what we're hearing from them is a little bit around fuel efficiency which we've seen over a period of time. And a little bit around winners and losers around the fuel price environment and FX environment. I would say right now we're getting general comments back from the customer base, and not really any one particular theme.
James Schneider: That's helpful, thanks. And maybe as a follow-up, just a follow-up on the earlier question regarding Esso and the accretion expectations. I really wanted to ask you more about the revenue side of things. Can you maybe quantify or give us any color around how much the revenue on the European operation is exceeding your expectations at this point in time and kind of what you think that might look like in terms of plan going into 2016?
Steve Elder: We started as Melissa said earlier, raising the fees to our customers and getting them more in line with the marketplace pretty much right off the bat. So when we initially talked about the portfolio we talked about a $35 million revenue portfolio, and even with the drop in the Euro I think we're pretty far outpacing that. Well over double-digits in terms of the uplift that we're getting. Earlier than we expected. So it's certainly helpful, and as we've said before, we also got some more costs when we took over the portfolio as well, so from a bottom line perspective we're in the same place that we expected to be.
James Schneider: I see. Thank you very much.
Operator: And your next question comes from the line of Mike Taiano with Burke & Quick Partners.
Mike Taiano: Hi thanks good morning. Just had a question on a transaction that occurred during the quarter with GE Capital's fleet being acquired by Element, and I believe they also had acquired PHH which is a customer of yours as well. Just curious how to think about that. I think GE Capital had a very large number of vehicles with you anyway, so as we think about that going forward – I don't know if there's a trigger that would – in the contract that would cause you to renegotiate now that they've been acquired, but is it fair to think that the pricing shouldn't change all that much given GE was probably already getting pretty good pricing given the number of vehicles they had?
Melissa Smith: Yes. I’d say where both great partners of ours. Originally it was PHH, now Element. We met with them. We've had strong relationship with them as well as with GE. It's a little unclear when the timing of that combination will ultimately happen. But for us, you're just combining to really strong relationships and from a pricing perspective there's a fair amount of commonality across the market and how we think about pricing. So we would enter into a discussion with them I would say under normal course of business.
Mike Taiano: Got it. Great. And then, Steve, I noticed you – this quarter you had some fed funds that you draw down on. Just was curious as to the reasoning for that? I think it was like $50 million.
Steve Elder: It just a day-to-day cash flow issue. It's the reason those lines are in place. Rather than going out and getting CDs for three or six months of or something like that when you may not be them everyday, we routinely rely on those fed fund lines. It's been a while since we tapped them at a quarter end, but it's not certainly anything unusual in the business day-to-day.
Mike Taiano: Got it. And then just last question. I noticed the account servicing fees in the other payment solutions business were flat relative to 1Q. Is that something where we would expect the bigger increase in the back half of the year, I imagine like fourth quarters when the enrollment periods occurs, is that sort of trend wise what we should expect?
Steve Elder: Yes, I think one of the great things about the Evolution1 business is how predictable it is, and like you said, you get a lot of those enrollments towards the end of the year. Typically they take effect at the beginning of the next year or so. Once you get through the deconversion process if there are any, once you get through the first quarter you have a really, really good insight to what their revenues are going to be for the year. That also means that those revenue streams are going to be pretty consistent quarter to quarter as well, so I think that you'll continue to see that.
Mike Taiano: Great. Thanks a lot.
Operator: And your next question comes from the line of Tien-tsin Huang with JPMorgan.
Tien-tsin Huang: Hey good morning, somewhat related, I'm curious if your pricing outlook on the fleet side has changed at all for the second half from what we were thinking a quarter ago?
Melissa Smith: No, and from our perspective it's been a competitive market for a number of years and we'll envision it to continue to be competitive.
Steve Elder: I think some of the pricing increase we talked about Tien-tsin last quarter, they're actually going into effect now. Literally within the last couple weeks so everything that we talked about last quarter is still holding.
Tien-tsin Huang: Okay. Those comments helpful there. Then – and sorry if I missed this I got disconnected – the hedge – fuel hedge interest in the striking that and if so where with that level be today?
Steve Elder: If we were to do something further it would be pretty much the same range of where prices are for this year. We're looking in the mid-$2.60, $2.70 you know above $2.70 maybe something in that range for next year if we were to extend it.
Tien-tsin Huang: But your appetite at this point?
Melissa Smith: We would still say the same thing that we don't think that it's worth the potential upside to lock ourselves in at this point in time.
Tien-tsin Huang: Okay, make sense. Makes sense. I just wanted to make sure.
Melissa Smith: Yes, we’re seeing how the market right now.
Tien-tsin Huang: Okay. It makes sense. I just wanted to make sure. Forgive me for asking. And then just last one, on Evolution1, not surprised to see it doing very well, I'm curious just with all this healthcare consolidation with the payers and whatnot, any knock-on effects to Evolution1 that we should consider?
Melissa Smith: I’m sorry, I didn’t get the last part of your question, can you repeat?
Tien-tsin Huang: Just trying to think about all the consolidation that's going on in the healthcare side with some of the healthcare payers consolidating and whatnot. I'm curious if there's any kind of derivative impact that we should think of for Evolution1? That's all.
Melissa Smith: Yes, in some cases they're winners and when there's consolidation which they were with HSA Bank and I think generally speaking they have a pretty broad reach within the marketplace which is helping in the whole consolidation game where they have an ability to – if there's consolidation it's typically happening from one partner to another. But it is definitely a macro trend that we are discussing within the business and from their perspective it's more about increasing the reach that they have into the market, adding more partners so that you get more and more protection if there is consolidation.
Tien-tsin Huang: Yes. It's pretty well diversified. Thank you.
Operator: And your next question comes from the line of Smitti Srethapramote with Morgan Stanley.
Danyal Hussain: Hi Melissa, Steve and Micky. This is Danyal Hussain calling in for Smitti. I just wanted to touch on the processing rate for both fleet and other payments. I guess just looking at fleet specifically, can you talk a little bit more about the merchant consolidation? How much of the sequential decline you can attribute there? And then was there any impact in the quarter from consolidation of the leasing partners or I just wanted to clarify whether that is only going to happen at the time of the consolidation or whether there would be any? Whether those contracts would just fold up under the Element contract?
Steve Elder: So let me take a couple things at a time here. I'd say on the fleet space and the rate, the merchant consolidation has kind of happened and it was a piece of the first quarter as well as the second quarter, so sequentially not a real big change there. It's just a matter of winning in the marketplace and renewing large fleets in the basis point or two of pressure that we're going to get every year in those rates is where I'd attribute most of that to. On the MasterCard or other payment side, on the travel side, we talked about the couple basis points mostly being from the renegotiation of the one contract. In terms of the fleet, our partner consolidation, no impact yet. I mean the deal still needs to close first of all before anything would happen and when it does what will typically happen is there operate under their existing contracts for some point in time until we renegotiate something with them or they start physically moving – reissuing the plastic under one or the other of the deals. But typically we'll renegotiate an all-encompassing contract with them.
Danyal Hussain: Got it. And then just looking at the credit loss improvement. Can you talk a little bit about what's driving that and how sustainable you think it is going forward? I'm just wondering if Q2 was – if there's any benefit from a reserve or lease of any kind?
Steve Elder: No, I wouldn't call it a reserve or lease at all. I'd say from a dollars perspective, obviously the lower fuel prices is a biggest impact there, right? We're charging off balances that were at much lower fuel prices this year than they were last year or even last quarter as they've continued to come down. The aging is in very good shape and that was the primary driver for why the basis points in the fleet side went down. We did reference the one bankruptcy we had in the other payment side which was about $0.01 of earnings actually and one of our larger ones that we've had. I think – and you can see it in the forward guidance we gave, we're expecting credit loss to be at pretty low levels this year and if those numbers hold for the full year it's probably one of our lowest ever. So, yes, we do think it sustainable. We're not seeing anything in the aging of the portfolio that gives us pause on that.
Danyal Hussain: Got it. And if I could just ask a quick clarification. The 10% organic growth number you gave, does that include the addition of Esso?
Steve Elder: No. So adjusted for all the M&A activity fuel prices and foreign exchange rates so take all those things out and it's about a 10% growth rate.
Danyal Hussain: Great. Thank you.
Operator: And your next question comes from the line of Ashish Sabadra with Deutsche Bank.
Ashish Sabadra: Hi. A quick question on the fuel consolidation. So Element – the text seems to suggest that Element has started reissuing fuel cards for PHH or replacing the PHH's fuel cards with Element fuel cards? Are those Element fuel cards also supported by the Vex network? I just want to confirm that.
Melissa Smith: Yes. They're essentially just migrating the PHH name, and they have, to Element.
Ashish Sabadra: Okay, thanks that's helpful. Just quickly on the FX remeasurement gains and losses, what is the assumptions in the new fiscal year 2015 EPS guidance, what is the assumption around gains from these FX remeasurement gains and losses for the full year?
Steve Elder: For the full year, if you look at the income statement, the nonoperating gains and losses, we've pulled all of that out in the new guidance so the $5.14 at the top end has no FX remeasurement amounts in it. We're assuming the exchange rates kind of stay where they currently are.
Ashish Sabadra: Sure, Steve, just maybe a quick clarification on that one, so what – like if, as you said, if the exchange rates stay where they are, what would be the roughly – approximately the FX remeasurement gain/losses in the third and fourth quarter?
Melissa Smith: I’ll add in here a little bit just to make sure its clear, we're talking about there's two different pieces of FX that impact us. So the part that are more operational, so the fact that we're earning money in Brazil and we're converting that back to U.S. dollars we continue to reflect that in our forward guidance. And as Steve said, we are presuming that FX exchange rates stay where they are right now. The part that's sitting on our balance sheet for the fact that we have cash in 17 different currencies it's getting mark to market on a regular basis at the end of each quarter, that part we've excluded from our adjusted net income. It was really just a remeasurement of what the assets look like at the end of every quarter and we decided to exclude that from adjusted net income so there's no impact of that through our adjusted net income guidance range for the full year.
Ashish Sabadra: Okay. That's helpful. One final question from me was about the diesel prices have been trending lower than the gas prices. Have you factored that in the assumptions in your oil price assumptions for the full year?
Steve Elder: Yes. When we do the prices we take the NYMEX cards for the related products, correlate them into retail prices – individually correlate them into retail prices and then blend them together based on the mix that we have. So, yes, to the extent that correlation is changing we've taken it into account.
Ashish Sabadra: Okay. Thank you very much.
Operator: And your next question comes from the line of David Togut with Evercore ISI.
David Togut : Good morning. Just a clarification, Melissa. You indicated that the change in the European cost structure will take some time. Can you just expand upon that, particularly with respect to possible margin leverage once we get beyond this year? Number one what's your visibility on the European cost structure beyond 2015 and do you still not expect to have incremental investment in Europe in 2016 relative to your current run rates this year?
Melissa Smith: Okay, I’ll take each of those. Actually I'll start with your last question. When we your last question. When we're looking at 2016 we're still presuming that where it is going to be breakeven or greater, based on what we know at this time in point. The question earlier had been really the point in time that we're going to actually see a change and that's really what I was referring to is that I can't say with precision exactly how this is going to play out. What I can say is that we're continuing to see really positive trends on the revenue side that we are making changes on the cost structure side. The process they have to go through, as you know is going through work councils and so that's the part we have less control over, but that's a piece of what will happen throughout the business model and then in longer term view this is going to happen in phases since we think about optimizing the overall cost structure and some places we're adding resources, we talked about telesales as an example of that, within the marketplace and in other places we'll hopefully be relocating some of those resources and so there's a little bit of each of that that's happening within the marketplace.
David Togut : Understood. And just a question about M&A in Europe. Edenred acquired a minority investment in UTA, a German fuel card business. And I'm wondering whether that was something that you would've looked at, and was that something that might have fit with your strategy.
Melissa Smith: Yes, there are two big players within the European market on the Over the Road space, DKB and UTA, which are both family-owned businesses. And, as you said, Edenred took a minority ownership position in UTA I think within the broader marketplace. I won’t comment in anyone’s specific transaction. But we always interested in looking at people that are within our direct marketplace and we have in particular we can expand our networks. So any of those transactions you are going to see across Europe, and frankly in any part of the world is something we're going to have interest in. It just needs to work out economically and particularly if you're going in some type of a joint venture, the control dynamics also need to work out.
David Togut: Understood. And just a quick final question. In early June Fleet announced a contract with Uber. I'm wondering if that's something that you competed with – is that –because I know there was a wage – there was sort of a wage deduction piece of that contract in addition to standard fuel card? Is that something that would have met your criteria in terms of expansion and new customers?
Melissa Smith: Yes, so we were very aware of the Uber contract in the marketplace. We have a great relationship with Zipcar as an example, if you think about something that's a little bit unique in the marketplace. In fact we just renewed a five-year contract with them. So it's, again it's a little bit of a novel play in the marketplace and it wasn't a place that we came to terms with.
David Togut: Got it. Thank you so much.
Steve Elder: Okay.
Operator: And your next question comes from the line of Glenn Greene with Oppenheimer.
Glenn Greene: Thanks good morning. Just a few clarifications. Obviously, the same-store sales declines a big factor in the back half guide and you highlighted the oil and gas exposure or decline there, but could you clarify what you're relative exposure is to the challenge verticals?
Steve Elder: I'd say the three that Melissa talked about with manufacturing oil and gas and transportation are somewhere between say 15% and 20% of the overall business.
Glenn Greene: Okay. And then just in terms of the back half guide, just to be clear, are there any changes in the other payments business or that's kind of status quo?
Steve Elder: That's pretty status quo. It's growing nicely as we talked about early on and we expect all those trends to continue.
Glenn Greene: Okay. And then finally, it sounds like your M&A appetite given you start to brunt leverage down, I think you said three times at this point. Is that accurate – be thinking about you want to get more aggressive on the M&A side and where might be the focus areas?
Melissa Smith: I would say that we have been active in nature in the marketplace all along the affordability becomes a little bit easier as leverage ratio comes down, but we'll continue to be active in the marketplace and we have a pretty high filter. So we'll go through a whole series of transactions that are happening in the background it’s an ongoing basis to get to the ones that we actually announce.
Glenn Greene: Okay. That's all I had. Thank you.
Operator: And your next question comes from the line of Tom McCrohan with CLSA.
Tom McCrohan: Hi, everyone. Most of my questions have been answered. Just ask a modeling question related to the trends and on the credit side. Steve, what was the charge-offs this quarter if you exclude the bankruptcy?
Steve Elder: About $7 million.
Tom McCrohan: So the charge-off – I thought you said charge-offs earlier were $7 million?
Steve Elder: $7.7 million.
Tom McCrohan: Got it. I missed the point part of it. And in terms of trends on the provision side should we expect the gap between charge-offs and provision to narrow or expect them to stay where they're at right now.
Steve Elder: No, I mean obviously the charge-offs were higher than the provision right, and that’s a scenario that can’t continue forever, right? We were – it's just the way the aging of the receivable balances came out. That was what we needed based on the historical charge-offs. It's a fuel price phenomenon that we're seeing coming through right now with the dollar values of the charge-offs at a higher than where the current receivables are, so that's a lot of what's going on here. But obviously over time those charge-offs and the provision have to kind of come into line. 
Tom McCrohan: Okay. And in terms of the hedging on the fuel side, so is the right way to think about this as you have until the end of this year to put hedges on for 2016? Or is there a date where if we don't see an 8-K filing that you put some hedges on that we know you're not going to be hedged for 2016 at all?
Steve Elder: Again, I mean I guess so I would say, Tom, is we've said we'll kind of monitor the marketplace and it's that risk reward balance and our view comes into more balanced in our view, then we could do something. I'd say right now we don't see it. We're probably not going to come out with a pronouncement that says we're not going to do it or we are going to do it. It's going to be if we come to agreement that it's the right thing to do, we'll do it and we'll talk to the world about it. But for right now, we're going to stay out of the marketplace.
Tom McCrohan: And my last question, can you just remind me again what percentage of your revenues is sensitive to fuel prices?
Steve Elder: In the low 30s between 30% and 35%, it was 37% but its coming down a little bit between Evolution1 and WEX Europe Service with their lesser amount. So it's in the low 30% now.
Tom McCrohan: All right, so any sensitivity for 2016 would be less than it was prior to what you provided?
Steve Elder: In total revenue the percentage term is going to go down but the actual dollar amounts, hopefully we're going to continue to grow and so those dollar amounts aren't going to get any smaller.
Tom McCrohan: Got it. All right thanks.
Operator: And thank you. This does conclude our question-and-answer time. I'd now like to turn the call back over to Micky Thomas for closing remarks.
Micky Thomas: Okay. That concludes our call. Thank you all for joining us. Goodbye now.